Operator: Good day, and welcome to the TrueCar First Quarter 2025 Financial Results Conference Call. Please note that this event is being recorded. I would now like to turn the conference back over to Jantoon Reigersman, President and Chief Executive Officer of TrueCar. Please go ahead.
Jantoon Reigersman: Thank you, operator. Hello, everyone, and welcome to TrueCar's first quarter 2025 earnings conference call. Joining me today is Oliver Foley, our Chief Financial Officer. I hope you've all had the opportunity to read our most recent stockholder letter, which was released yesterday after market close and is available on our Investor Relations website at ir.truecar.com. Before we get started, I need to read our Safe Harbor. I want to remind you that we will be making forward-looking statements on this call, including statements regarding the potential impact of newly implemented tariffs, including those impacting the automotive sector. Forward-looking statements can be identified by the use of words such as believe, expect, plan, target, anticipate, become, seek, will, intend, confident and similar expressions and are not and should not be relied on as guarantees of future performance or results. Actual results could differ materially from those contemplated by our forward-looking statements. We caution you to review the Risk Factors section of our annual report on Form 10-K, our quarterly reports on Form 10-Q and our other reports and filings with the Securities and Exchange Commission for a discussion of the factors that could cause our results to differ materially. The forward-looking statements we make on this call are based on information available to us as of today's date and we disclaim any obligation to update any forward-looking statements, except as required by law. In addition, we will also discuss certain GAAP and non-GAAP financial measures. Reconciliation of all non-GAAP measures to the most directly comparable GAAP measures are set forth in the Investor Relations section of our website at ir.truecar.com. The non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. Let us begin. We're pleased to report continued strong performance for the first quarter of 2025, especially in light of the volatile macro environment. Highlights from the first quarter include total revenue of $44.8 million, grew by $3.8 million, or 9.2% year-over-year, with adjusted EBITDA of negative $3.8 million. New unit sales volumes saw a significant increase of 23% year-over-year, substantially outpacing the industry's 6.8% growth in new vehicle retail sales for the quarter. We expanded our affinity network with the addition of notable partners including DoorDash, GasBuddy, and GovX. The transition of certain OEM incentives from American Express to the AAA auto buying site progressed rapidly with AAA program revenue in March approaching previous levels seen with American Express. Our restructured performance marketing campaigns continue to enhance efficiency, achieving the lowest cost per sale since 2022 and effectively driving unit sales growth for our dealer partners. In addition to delivering solid performance in the first quarter, we're excited about the progress we continue to make with TC+, a product we believe can fundamentally change the car buying experience for consumers and dealers. The approach we have adopted in pursuit of this vision has been built around a highly focused pilot with a singular dealer group committed to collaborating with us on the co-creation of tools and solutions that will pave the way for a broader rollout of the product. These optimizations, combined with expanding the volume of consumers entering the TC+ purchase flow, have allowed us to steadily grow volumes while maintaining our disciplined and iterative approach to scaling the product. Since launch, roughly a third of the pilot dealer groups TrueCar enabled sales were driven by TC+ consumers that completed the entire transaction or a significant portion of the purchase process online before finalizing the transaction at the dealership. We not only allowed consumers to move to an online purchase, but also expanded the sales volumes to this dealer group. A super exciting case study and a clear validation of our hypothesis so far that TC+ not only enables a dealer to move completely online, but most certainly also expands their volumes and sales. As we seek to make TC+ broadly scalable by year end, the most critical work stream that remains in process is the backend integration with two dealer management systems, DMS, providers namely CDK and Tekion that will fully automate deal documentation and desking activities currently performed by the dealer. While completion of this work has been delayed by the prioritization of external resources outside our control, we aim to have both integrations substantially complete by the end of July. In spite of this, the rate at which we continue to advance the product and ready it for scale has not slowed. To this end, we're excited to have recently onboarded a second pilot dealer group with franchise stores in and around Sacramento markets, with a third expected to be onboarded later this month. The addition of these groups marks a key milestone in the growth of TC+ that will bring new franchise brands onto the platform, broaden the inventory eligible for purchase online, and allow us to expand consumer access to TC+ in another major market. Turning now to our views on the potential impacts from the automotive sector tariffs and how we are responding. The 25% tariffs applied to imported vehicles and component parts that were announced in March and which became effective April 3rd with respect to vehicles and May 3rd with respect to parts, has created a tremendous amount of uncertainty given that approximately 50% of new vehicles retailed in the United States are imported and among vehicles produced domestically, 40% to 50% of their component parts originate outside of the U.S. The tariffs as currently in effect are estimated to add up to approximately $4,500 of additional cost per new vehicle sold in the United States, equal to roughly 10% of the average pre-tariff new vehicle MSRP. While undeniably a headwind for the automotive retail ecosystem, the impact on dealers and consumers is difficult to predict without greater clarity around OEM's operational response, which will ultimately dictate changes in new vehicle supply and pricing, two of the most important factors that impact retail sales volumes. Nevertheless, in the near-term we do not expect to see a material impact to the strong and stable demand that drove year-over-year unit growth in both Q1 and April as dealers sell through pre-tariff inventory and OEMs reformulate their strategies in response to the tariffs. In the medium-term, we believe there is an increased probability that new vehicle supply tightens and prices go up. However, potentially mitigating the magnitude of these shifts is the fact that tariff-imposed costs will not be uniform across the markets and certain OEMs that are less impacted by the tariffs due to their supply chain footprint will emerge with a competitive pricing advantage. This dynamic, we believe, should support stable inventory levels and reduce the likelihood of broad-based consumer price increases because OEMs and dealers alike will seek to protect their market share by maintaining volumes and taking steps to keep average transaction prices stable. As such, we do not foresee new vehicle supply and retail sales volumes approaching the levels experienced during the chip shortage of 2021-2022 and believe both dealers and OEMs will continue to rely on TrueCar to support their customer acquisition and incentive strategies. Despite this view, we are nevertheless taking steps to mitigate the impact of a potential slowdown in growth and provide us with the greatest flexibility to manage the business to positive free cash flow in any scenario that prevails over the next several quarters. Finally, lacking a clear outlook on the near and midterm market dynamics that impact our business, we believe it is prudent not to provide financial guidance for the second quarter and beyond. Despite solid performance in April, which saw a strong year-over-year revenue growth driven by healthy consumer demand and OEM incentives, we cannot credibly extrapolate this performance throughout the remainder of the quarter until majority of pre-tariff inventory has been sold and we start to observe trends in vehicle supply and pricing, which can have near-term impacts on the revenue we earn from both the dealers and OEM incentives. Nevertheless, despite it being inherently difficult for us to collect and to credibly predict our performance in Q2 and beyond, we firmly believe that the value we are delivering to our dealers and OEM partners, combined with the flexibility we have in our cost structure, will help mitigate the impact of a potential slowdown in growth and allow us to effectively manage our cash flow in any scenario that prevails. Now operator, let's open the call for questions from our analysts.
Operator: We now begin the question-and-answer session. [Operator Instructions] The first question comes from Naved Khan from B. Riley Securities. Please go ahead.
Naved Khan: Thank you very much and appreciate your thoughts on the industry trends here, Jantoon, just a couple of clarifications. In your letter, you mentioned accelerating certain product announcements that can yield some comparative advantages for TrueCar. Can you give us a sense of what these enhancements can be? And then the second question I have is around the incentive ad spending by OEMs. As these OEMs look to stay competitive on price and keep their share, how should we be thinking about the changes to the incentive ad spending? Could some of that – some of those dollars will be used to bring down MSRP and maybe a net reduction in incentive? Thank you.
Jantoon Reigersman: Yes, absolutely. Naved, thanks for the question. So number one, I think a good example is, for example, the utilization of gen AI that we've used for email campaigns as one sample of a driver, right. At the end of the day, what we try to do is really personalize the experience for consumers as they go through the flow. And so being able to retarget them in a personalized manner and in an automated manner actually is very effective. Remember, we have access to a lot of data, both historical purchasing data as well as data on the consumers themselves as they behave on the site. And so automating that and utilizing our AI tools more and more to really make this a much more personalized experience seems to be yielding very attractive results. So that's just one example of the many. At the end of the day, it's really about the consumer journey and the dealer journey. Those are the two pieces where all the product focus is – the product development is focused. Vis-a-vis your OEM question, yes, I think the hard part for us to determine and to predict is I think you could make a very good argument that OEMs will need to support effectively their vehicle sales more. And as a result, we could be well positioned to actually benefit from that. It's just really hard to say because at the end of the day, in a world of greater uncertainty, people are just reluctant to engage. But overarching in a world of higher tariffs and obviously trying to push consumers to make a purchasing decision on the car, I think there are a lot of tools that the OEMs have at their disposal, of which many could come through TrueCar. So it's a reason why we're so delicate also in our language, because obviously uncertainty is never good for the market, but we're very confident that we can actually be really helpful to both OEMs and dealers.
Naved Khan: Great. Thank you, Jantoon.
Operator: The next question comes from Ryan Meyers, Lake Street. Please go ahead.
Ryan Meyers: Hi, good morning, guys. First question for me, without the kind of headcount investments now going forward, how should we think about the margins across the business and maybe what are the biggest levers that you can pull across the cost structure?
Jantoon Reigersman: Yes, I mean – I think it would be – yes, I will go and take, remember her. Yes, there are three main buckets, and then Oliver can take it. But remember that there are three main buckets that I've mentioned many times on these calls, which is really it's headcount, it's marketing expense, and then it's like effectively our overhead charge. It includes a lot of, like, the data costs and effectively the infrastructural costs. So a headcount is always important because you obviously want to make sure that you're well balanced and efficient as an organization. There's obviously, on the marketing side, there are two main buckets: one is performance marketing, the other one is partner marketing. One emphasis we also did here is obviously the efficiencies we've been achieving through our marketing campaigns. And so that's obviously a very important lever where as we have greater efficiencies, there are obviously interesting things we can do there. And then obviously, we are continually looking at potentially right sizing the business at the right time in the right forms as the world navigates, right, this level of uncertainty. Oliver, go ahead.
Oliver Foley: Yes, that's the only thing I'll add there, Ryan, is like, it's what's going to drive margins over the next couple quarters is sort of the revenue mix as well as sort of the flexibility we have in the cost structure. So the revenue mix, ultimately, OEM revenue tends to have the highest margin. And so, how much of our total revenue comes from OEMs certainly impacts margins. Conversely, TrueCar Marketing Solutions or some of our vehicle sourcing products around TrueCar Wholesale Solutions, those have lower margins. And so depending on the mix, ultimately that will impact margin. On the cost structure side, we're really focused right now on flexibility, right. Given the uncertainty, it's about how can we adapt under any scenario to manage cash flow effectively and ultimately be cash flow breakeven. And so we're pretty confident we've got a decent amount of flexibility across the cost structure. So across all three of those buckets, both headcount, marketing and sort of overhead. And so whether it's sort of outsourced services or it's continuing to lean into marketing campaigns that have a really – have the highest return, really quick payback, that's really where we're focused, so that we can manage in any scenario that prevails over the next couple of quarters.
Ryan Meyers: Okay, got it. And then just one sort of clarification question. I think you guys had said this in your prepared remarks, but it sounds like with the loss of the American Express business that's now been filled and picked up by the business that you guys are working with AAA, is that the right way to understand that?
Jantoon Reigersman: Yes, I mean, it's on its way. So I wouldn't say that it's 100% filled up, but it's obviously gives – and these programs takes time to ramp up, but it's getting very close to those levels.
Ryan Meyers: Got it. Thanks for taking my question, guys.
Operator: The next question comes from Tom White, D.A. Davidson. Please go ahead.
Tom White: Great. Good morning. Thanks for taking my questions. Two, if I could. I guess just first on tariffs. Jantoon, in the letter you kind of touched on how not all OEMs will be kind of impacted the same. I was hoping you could just kind of update us on your franchise dealers, like sort of what is your kind of exposure to different OEMs? I think you guys skew a little bit more towards kind of the Asian OEMs, some of the Japanese brands. I'm just curious, like, is there a reason to think that your specific mix of certified dealers will be better or worse able to kind of navigate what's happening? That's my first one. And then second one is just on kind of uses of capital. Just curious if you're giving any more serious consideration about buying back stock here. Thanks.
Jantoon Reigersman: Yes, so let me – on the first one, the comment was less about alluding to whether we're better or worse positioned. I think it's just hard to say at this stage. I think it was more intended to say like long-term probably not all OEMs are impacted equal. And so, what we do is obviously we're very focused on helping OEMs with their respective issues to help solve those through our programs. And so what we mean with that is, obviously, if somebody is more impacted or needs a specific type of help, and obviously we'll jump in and we feel that there are opportunities there. And so it really depends on the type of impact that each of these OEMs has. We indeed skewed a little bit more Asian makes more broadly, but this also shifts very much throughout the year. So that really depends. And at the end of the day, it also really depends on inventory mix and then eventually, obviously, the type of incentives the OEMs are willing to put on these cars. So, I think it's less about whether we're better or worse positioned, because I really think there is such a thing currently within the new space. However, I do think that the adaptability to really help the OEMs, where they would like to emphasize and where they would like to, like, effectively adjust some of their pain points is something that we are very capable of, and we've proven to be very capable. So we'll obviously have to navigate that somewhat smartly as we go through this. And on your second question on the capital allocation, the answer is always yes. I think this is, we've obviously been asked this a lot, and we have a significant cash balance in play. We very often review, almost continuously review our capital allocation strategies and do that the right way. And share buybacks are always one tool in that effectively, basket of tools that we have. And so that is something that we always consider and at the right time, will consider.
Tom White: Okay, thank you.
Operator: The next question comes from Chris Pierce, Needham. Please go ahead.
Chris Pierce: Hey, good morning. On TC Plus and the dealer you cited, can you just – is there a way to know if the dealer units are additive to, like, units they wouldn't have sold or – and then can you remind me, or remind us, is there an increased economic benefit to TrueCar from these units given, I think, the dealer probably makes a higher margin, even less sales commission in these units, like, what's the push and pull there?
Jantoon Reigersman: Yes, of course, absolutely. So on the first, the answer is yes. So, and this is what's really exciting about this. And at some point, I would love to actually provide you guys with a lot more detail on it and actually literally, like, present you guys with a case study on it. But long story short is yes. So there are two things that have really happened there in the case study, which is one is clearly a shift from people that historically were obviously just leads basically becoming fully online purchasers, number one; and then number two, also significantly increasing the volumes that we were bringing to that dealer. And so there are really two things happening. Both mix shift to online as well as increased volumes. And so I think as a case study that's a really good case study that we're really excited about. And obviously now we feel we should add a couple more dealers on to effectively run similar case studies, both because they're slightly different DMAs and see how that behaviors or whether the behavior is any different. And two, also adding more brands because obviously that also will then increase inventory. But also obviously we'll see the behavior and different behaviors that are happening online. And so these are – we're almost like, for lack of a better word. And as one of our board members often tells me, it's we're kind of going slow in order to go fast, which is really honing in on to understanding this in detail. And then as soon as the DMS providers are kind of up to date and ready for us to automate these things, then we can really start pushing the scaling much faster and much harder. But I think so far these results are effectively confirming all the hypotheses and the thesis we had in the past. And then Chris, what was your second question again on the oh, monetization.
Chris Pierce: Monetization, yes.
Jantoon Reigersman: Yes. Monetization, yes, so currently, currently we're not doing – like the monetization is just as if it's a lead. This is really because we're focused on like we're obviously asking a lot from these dealers at this stage because obviously there is close integration happening, we are learning a lot, there is a lot of things we're doing. So we were monetizing it as if it's a regular lead at this point. We're not yet monetizing it really at a TrueCar plus basis. And we only want to start doing that once we properly start scaling because we really want to – we don't want the monetization to be affecting any of the testing and trial and error we're doing today.
Chris Pierce: Okay. And just lastly for me on the pause of the dealer sales headcount, is it – are you anticipating that there's going to be uncertainty from the dealers and the OEMs or are you actually hearing that from dealers right now and it's kind of affecting what you had thought was going to be your go-to-market or are you just sort of building it in because of the elevated uncertainty?
Jantoon Reigersman: Yes, elevated uncertainty, we are just building it in. There is no reason to go like, let's feel out the market a little bit more, let's be a little bit more efficient first, you see kind of how this is going to play out, be there to be helpful for the dealers. That's really the main focus right now. So it's really in anticipation of, it's not necessarily because we're reacting to something specific.
Chris Pierce: Okay, perfect. Thanks for the clarification. Thanks.
Operator: The next question comes from Rajat Gupta, JPMorgan, please go.
Jash Patwa: Hi, good morning. This is Jash Patwa on for Rajat Gupta. Thanks for taking our questions. I was just hoping to get some further color on your decision to not provide guidance for the second quarter despite the subscription nature of the business. And also since most manufacturers have held pricing stable on model year 2025 vehicles through early June, along the same line of thought, would you be able to share an update on the dealer revenue split between subscriptions and pay-per-sale? Thanks. And I have a follow-up.
Jantoon Reigersman: Yes, I will take the first one. I'll have Oliver answer you the second one. So, the guidance really is very simple, is that if we were to provide some form of guidance and then there is some like crazy news that comes out in some shape or form, then suddenly you get into all those triggers where like, well, you've guided to something and then how does that affect, and then how do you then speak to the market about that? And it just makes life a lot more complicated. I think if there is nothing strange coming further in the next couple of months and quarters and I think things become relatively predictable in a way that we've always been able to relatively well predict. But the real reason to pull back on any form of guidance is really just because of the high level of uncertainty. So it's less about the business model. It's more that if tomorrow tariffs get doubled, then it’s really hard to assess exactly what the impact is at this stage. So, that level of uncertainty just makes it that it's easier to just refrain from providing any guidance. And then Oliver can take question number two.
Oliver Foley: Yes, I'd say, if you just look at our dealer revenue, about 20% of it comes from pay-per-sale, with the remaining 80% being sort of recurring subscription based. But then I think OEM obviously is the other sort of variable revenue component, right. And that can move up or down quite significantly depending upon sort of how OEMs recalibrate their incentive strategies going forward. So I think when you've got a relatively small revenue base with, I think, a decent chunk of it, that's non subscription revenue, the volatility that we've seen makes it very difficult to predict those non subscription based revenue lines and they can have a material impact as a result.
Jash Patwa: That's very helpful, thank you. As a follow-up there were a lot of great details in the prepared remarks and shareholder letter around the progress of the TrueCar Plus offering, which we really appreciate. And maybe just following-up to Chris's question, could you also discuss the potential cost savings realized at the pilot dealer group with a larger proportion of volumes now being transacted through the DC plus channel? Additionally, has there been any cultural pushback at the stores considering that transactions through end-to-end online channels might impact the store associates variable pay? Thank you.
Oliver Foley: Yes, these are all good questions. I'm trying to think like how to answer them concisely. Yes, so there are a lot of savings are important. So number one you can start selling as a dealership 24x7 right. So, that's really important. So in other words, at night when people are sleeping, you arrive in the office the next morning, you effectively have sales happening throughout the night. So that's number one. Number two is obviously they are able to expand their almost their geographical footprint effectively. Number three is obviously people at leisure, at their home, looking at attaching products, feel more confident, feel more confident with peer reviews, et cetera. And so there is a different group of customers that effectively the dealer is able to address and serve that have different type of needs than the ones that really enjoy going into a dealership. So the answer is yes. So it's not just purely by volume, but it's also by the type of consumers they are obviously pursuing. Then you go into the back end side of things. So, really now suddenly you can be much more efficient with your sales team throughout the day and really serve the people that are in the store and have effectively your sales team pure on the phone per se chasing potential leads. And so as a result, I think, you can become much more efficient on that side. Over time, obviously depending on the type of dealerships they could even consider whether sales commissions should be even be part of the online sales. And then once you start moving to the next phase, you really start thinking about, you can even start are thinking about real estate cost and location costs effectively. It's like how much inventory do you actually need to have on a prime real estate location or can you actually use a secondary location, et cetera. I think the complexity that always comes from scaling a product like TrueCar Plus is that – and it's both the complexity as well as an opportunity as a dealership, when you run multiple stores, how are you going to actually deal with online sales from an operational perspective? So do you have a single person in all different stores being responsible for online sales? Do they then carry multiple brands? If somebody from an online sale comes and wants to pick up the car, do they pick it up on a centralized location or one of the brand dealerships? All these type of little nuances actually really matter and they matter a lot. And also like then the cost burden to the dealership, right. So it all comes down to either efficiencies or inefficiencies. And so the ability to start selling more with less friction, less logistical complexity is something that's super attractive. And more importantly also start selling in off hours or sell to people that otherwise would have been reluctant to walk into a store or would have walked in by necessity or would have taken a lot of time in the store, now suddenly you can run all the operations much more efficiently. So net-net, I think there are a lot of cost savings to be had for the dealerships and I think as we go through forward with every one of the dealerships, it's going to very depend on what they're very focused on themselves. But it's very obvious that for the dealerships this is a really interesting value proposition and obviously it will allow for the buy to effectively be split in a different form and for us to be able to monetize this in an attractive way.
Jash Patwa: Great color. Thanks a lot Jantoon and Oliver. Good luck.
Operator: [Operator Instructions] The next question comes from Martin Fong, BTIG, please go ahead.
Martin Fong: Hi, good morning. Thanks for taking my question. So first you referenced you expect CDK and Tekion to come online, I think, somewhere around July. How confident are you on that timeline? And could you just maybe clue us in, I think, you mentioned that the delays are sort of outside of your concern, I mean, is it that they're working on something related to macro that's kind of tying their attention? Just maybe some insight there would be great. And I have a follow-up.
Jantoon Reigersman: Yes. Yes, absolutely. So the one that we've been working with mostly has been CDK, Tekion we've just started engaging with. So they're like, we'll probably run through that timeline with them in relatively short order. For CDK, really the issue has been two-fold. So one is just resource allocation. And second of all, obviously CDK is also more complex, like architecturally more complex organization in the back end. As a result, for them to adapt accordingly is a little bit trickier. So as soon as we do something and we effectively then test it, often products are slightly buggy or have some issues and then kind of they need to pull the team back in and there's a little bit of an iteration that happens there. I think the good news is they are very focused on it. The tricky bit is that they also are looking to re-platform as an organization. So there is always some delay that comes with that and obviously a loss of focus. But I think we are confident to have the right product development roadmap now with them to be able to do that. And in parallel, obviously we're accelerating the integrations with Tekion as well, which probably will be an easier and faster integration in any case, because obviously they do not carry the same tech as CDK does.
Martin Fong: Got it. Thanks for that. And my follow-up, I mean, I think we all acknowledge the uncertainty here and I respect you're not providing guidance. It's just a higher level question on what you are seeing in your dealership conversations and how they're behaving. I mean, should we just assume that there's this general paralysis in the sales channel or are there actually some signings going on? Just maybe a bit deeper insight on what's going on in the field would be great.
Jantoon Reigersman: Yes, it's a good question. And the honest answer, Martin, is like, it's like so far so good, to be very honest. So there is just a lot of uncertainty. But I think that that's also what we try to relay in the letter, where we try to kind of walk the nuances, right. Where it's like Q1 was actually a pretty good quarter, April clearly held up accordingly as well. And so it's just hard to extrapolate because you just know what's coming from left field. But I think so far so good, the morale and just overarching the success of the relative dealers. And so now obviously don't forget that as has been the case already for a couple of years, I think, independence will suffer, right? And the smaller independents will continue to suffer until affordability becomes obviously there's some easing there, but I think from the perspective of the franchises and the new cars, I think, they are holding up so far they're holding up strong and obviously people are still buying. It's hard to say whether this is a nervous buying, free tariffs, or whether this is business as usual. We will see and we'll see how this flows through. But so far there's no red flag in the field itself.
Martin Fong: Yes. Thanks so much, Jantoon. Appreciate it.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Jantoon for closing remarks.
Jantoon Reigersman: Right, I just would like to thank everybody for taking the time to participate in our call. And I want to thank the team. I know with all the macro volatility around us, it's amazing to see the team and firm keep steady, focused and do what we need to do. So thank you everyone. And thank you today for listening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Goodbye.